Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2015 Medical Properties Trust Earnings Conference Call. My name is Lisa and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today Mr. Charles Lambert, Managing Director. Please proceed.
Charles Lambert: Good morning. Welcome to the Medical Properties Trust conference call to discuss our first quarter and full year 2015 financial results. With me today are Edward K. Aldag, Jr., Chairman, President and Chief Executive Officer of the company and Steven Hamner, Executive Vice President and Chief Financial Officer. Our press release was distributed this morning and furnished on Form 8-K with the Securities and Exchange Commission. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com in the Investor Relations section. Additionally, we are hosting a live webcast of today’s call, which you can access in that same section. During the course of this call, we will make projections and certain other statements that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause our financial results and future events to differ materially from those expressed in or underlying such forward-looking statements. We refer you to the company’s reports filed with the Securities and Exchange Commission for a discussion of the factors that could cause the company’s actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and except as required by Federal Securities laws, the company does not undertake a duty to update any such information. In addition, during the course of the conference call we will describe certain non-GAAP financial measures, which should be considered in addition to, and not in lieu of, comparable GAAP financial measures. Please note that in our press release, Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliations. I will now turn the call over to our Chief Executive Officer, Ed Aldag.
Edward Aldag: Thank you Charles and good morning everyone. 2014 was one of the best years for MPT and 2015 is shaping up to be another strong year. Year-to-date, we’ve closed on approximately $165 million in new properties and today we announced an increase of $250 million to the debtors also known as First Choice for additional freestanding emergency rooms and general acute care hospitals. This brings our year-to-date acquisition total to about $415 million which is ahead of pace for the $600 million to $800 million acquisition target we discussed last quarter. For the first quarter, our normalized FFO per share was up 8% when compared to the first quarter of 2014. This increases before we fully realized the benefits of our median investment, which should recur by the third quarter. Also if you ignore the FX swings, it is an additional 11.5% increase. And as Steve will remain you the FX swing currently has no effect on our plans as we intend to reinvest our Euros in Europe. Parts of the acquisitions last quarter were two acute care hospitals leased to Prime Healthcare. These hospitals were [indiscernible] system which was part of the Ascension Health. St. Joseph Medical Center is located in Kansas City, Missouri, and it has 310 beds. The other is St. Mary’s Medical center, 846 bed hospital located in Blue Springs about 20 miles east of Kansas City. These hospitals complement Prime’s existing facilities to the west and northeast creating a well dispersed health system in the Kansas City market. Ascension has previously agreed to sell these facilities to HCA. However, that transaction was cancelled due to a prolonger view by the FTC. Another facility which is part of last quarter’s acquisition is in the existing or acquired by Ernest Health. This is the second existing facility acquired by Ernest. The integration is going well and the average daily senses is right on track. We also agreed to increase our funding to debtors also known as First Choice ERs. We have increased our development land then by $250 million. This amount will bring our total investment in their properties to $500 million. To date we have 22 freestanding ERs up and operating with 10 freestanding ERs and two acute care hospitals still under construction with them. We’re currently in negotiations for approximately $2 billion of additional property in the U.S. and Western Europe. This amount is fairly evenly divided between the two locations while we do not expect that a 100% of the $2 billion were closed. I wanted to give you an idea the depth of our acquisition pipeline. So let me now turn to our existing portfolio. There is no new update on our two Arizona properties other than to say things continue to progress well and the rent is being paid. [Indiscernible] increased their EBITDAR coverage about 48% to almost two times. Gilbert EBITDAR coverage is well over 3 times. McLeod Health has entered into an otherwise at least our two South Carolina facilities and we hope to have this transaction completed by early summer. The least coverage for our existing portfolio has showed improvement in all three categories, for properties in our portfolio for over a year. The general acute care hospitals increased coverage from 4.28 times to 4.34 times fourth quarter to first quarter. The LTACs increased coverage to 1.91 times from 1.8 times quarter-over-quarter, and the Adeptus [ph] increased coverage at little over two times from 1.9 times quarter-over-quarter. Only eight of our 25 tenant showed any decrease in EBITDAR coverage and the largest decrease was only 16 basis points. You may have seen that IASIS filed an 8-K in April announcing a restatement of its financial statements. It is important to note that the important to note that the error occurred in their Managed Care Division and had no impact on their hospitals. Our IASIS hospitals continue to perform above our expectations. Brown's corporate credit rating was recently upgraded by S&P from B to B plus. As I stated before admissions is only one of many barometers for judging the future operations of hospitals. All three of our major categories saw significant increases. General acute care hospitals increased 5.7%, Adeptus increased 9.2%, and LTACs 2.4%. All of these figures are figures are year-over-year. Median RHM is MPT's largest operator representing approximately 22%. Prime is at 19% and Ernest – our debts are both at 11%. MBT is right on track. We’re delighted with the strength and performance of our existing portfolio and we continue to be enthusiastic about our acquisition pipeline. Now, I’ll turn the call over to Steven Hamner, our CFO.
Steven Hamner: Thank you, Ed. This morning we recorded normalized FFO per share for the first quarter of $0.28, and approximate 8% year-over-year increase compared to 2014. Included in this amount is the negative impact of $0.01 per share related to the strengthening of the dollar against the euro and to a much lesser extent that pound sterling. Absent this accounting adjustment our normalized FFO would have been $0.29 per share, which is 11.5% increase over last year’s first quarter. Let me give you a brief explanation of why there is no impact on cash of this accounting adjustment. Unless we need or expect to convert our euro or pound denominated income to dollars, we do not realize the depreciation of a local currency value compared to the dollar. We retain the full value of the local currency and we use this cash to pay our euro or pound denominated interest expense, the local G&A and importantly, to make additional investments in continental Europe and the UK. There is no reason for us to bring home dollars because first we have plenty of views for euros and pounds in executing our international growth strategy and second our dollar denominated domestic cash flow is sufficient to pay our dividend. So as long as we do not convert our euro earnings and we productively reinvest them. We believe investors are not impacted by the translation accounting. For reporting purposes the only meaningful adjustment we make to FFO to arrive it up normalizing FFO is for approximately $6.2 million in acquisition costs of which $4.3 million in the quarter is associated with MEDIAN and RHM. Let me give you an update on the MEDIAN transaction, most of you will remember that MEDIAN was acquired in December around which time we invested about €425 million and began earning our lease rate on that investment. We recently disclosed that we have now executed the majority of the sales and leaseback agreements that will lead to our acquisition of 100% of the real estate assets from the hospitals that makeup the previously disclosed total €705 million commitment. And we expect to be materially fully invested and earning our lease return before the end of the second quarter. Getting to this final stage, has taken a few more weeks that we initially projected. The added time resulted from careful legal structuring and completion of the final purchase price allocation. In this process we’ve recognized that a few properties had significantly more value than we had initially estimated. While five others did not meet our underwriting standards and we elected not to acquire to them primarily due to structuring legal and tax issues. The initial purchase price allocation to these five properties was only €17.3 million which we allocated to the more valuable properties. With the completion of the MEDIAN transactions we will – have created an asset for our shareholders that is cash return with annual inflation excalations for decade into the future. As Ed just mentioned we see substantial similar opportunities both in the U.S. and in Western Europe as the market for hospital real estate in both areas of the world continues to expand. At the same time that we continue to make significant acquisitions of high yielding hospital real estate, the capital markets remain extremely attractive. At the time that we agreed to acquire the MEDIAN assets, we retained the option to assume approximately €280 million of existing mortgage debt on attractive terms. Since then we have issued almost $500 million in common stock earned an investment grade rating and seen global interest rates continue to compress especially in the euro zone. Accordingly, we have elected not to assume the MEDIAN debt, but we’ll finance our remaining commitment with cash, revolver borrowings and outside capital that may include long-term unsecured bond debt. We have the capacity to complete the MEDIAN investments through our revolver and we will be opportunistic as to when we may access the capital markets to fund this investment on a longer term basis. As of March 31, we had drawn approximately $300 million under our revolving credit facility, leaving availability of about $725 million. The average interest rate on our outstanding balance is approximately 1.54%. At our last quarterly conference call, we estimated that up on completion of the median transactions including permanently financing the acquisitions with long-term debt in equity capital. Our run rate normalized FFO would range between a $1.21 and $1.27, due primarily to the recent acquisitions that Ed described earlier, we have modestly adjusted our estimated range to $1.22 to $1.28. As always that estimate is not contemplate, unannounced acquisitions or capital market transactions other than for MEDIAN. As we expect, all of our anticipated 2015 acquisitions those that we have already announced are highly and immediately accretive. And we therefore expect our results will continue to improve at attractive rates of increase. With that I will be happy to turn the call back over to the operator for any questions.
Operator: [Operator Instructions] And your first question comes from the line of Michael Carroll with RBC Capital Markets. Please proceed.
Michael Carroll: Thank you. Steve, you can give us an update on the MEDIAN transaction. I'm not sure if you mentioned this but why did you decide not pursue five of these assets?
Steven Hamner: Yes. Primarily because Michael there was minority interest, there were some tax structuring inefficiency and these were the smallest of the assets and actually to acquire them would have brought down our overall master lease coverage.
Michael Carroll: Okay. So there is no change I guess to your overall coverage ratios because the taxes that you would have to incur, to actually acquire those assets?
Steven Hamner: No, we would not have incurred the taxes, but it would have impacted the ability of the seller to sale them efficiently and then primarily because of that difficulty and the fact that it was at best neutral and more likely it was positive not to acquire these properties. We elected to relocate the purchase cost as the agreement provided that we could do and take just the property that we absolutely wanted.
Michael Carroll: Okay, and then can you give us an update on the timing you expect to issue that long term euro denominated bond and what's the benefit that you see from actually waiting and not doing then I guess, that you've?
Edward Aldag: Well the only thing I can say, I guess, is we are going to be opportunistic and that means watching the markets and timing to the extend that is prudent the issuance of the debt with the actual closing and funding of the fund requirements. And although we don’t try to time markets for interest rate by any means, the fact that we have not done it so far has only benefited us as we’ve seen the rates on Euro debt continue to decline. And I’ll just add finally there is no firm commitment to issue debt until we actually announce that.
Michael Carroll: Okay, and then can you give us timing on when you expects deploy the $250 million investment commitments to Adeptus?
Steven Hamner: Mike, that will be over the next 12 months it will probably not take that long but that’s our timing.
Edward Aldag: Keep in mind on that tranche as Adeptus has continue to evolve it strategy at least a couple of the hospitals that will be developed with those lines or actually general acute care hospitals that have a significantly higher purchase cost than the smaller free-standing yards.
Michael Carroll: Okay, great thank you.
Operator: Your next question comes from the line of Chad Vanacore with Stifel. Please proceed.
Chad Vanacore: Good morning.
Edward Aldag: Good morning.
Chad Vanacore: Could you give us an idea of how large a tenant you think Adeptus can get you eventually and any color around your additional commitment to them.
Edward Aldag: Well the only commitment we have right now is the additional $250 million which bring this to approximately $500 million total. I think that Adeptus, f you follow them at all, they've done an outstanding job. Their actual performance has been above everybody’s expectations it’s a very large country there are lot of places where they continue to do – really continue to add additional hub-and-spoke ERs in acute care hospitals. We certainly continue to want to do business with them, but beyond the additional $250 million we don’t have any plans at this point.
Chad Vanacore: Okay and then originally you had anticipated $600 million to $800 million investment in 2015 you are sitting at around $400 million right now. Is there any thought – anyway we should be thinking about maybe something higher than that.
Edward Aldag: If you would take the comments that are made about what we are having active negotiations and we are actively have $2 billion of property in both the combined in Europe and the U.S. that we’re working on right now. It is certainly possible to that entire $2 billion could close. Highly unlikely that will have a 100% success rate on all of that. Because they are big ticket items, the $600 million to $800 million target range is certainly still the minimum number. But given that pipeline it could be significantly higher than that. But again given that their large ticket items it’s hard to put to an exact number other than that range right now and I know it’s a very wide range.
Chad Vanacore: All right. And then did you mentioned on the MEDIAN transaction, we shouldn’t expect the change from – of 1.7 times coverage?
Edward Aldag: That is correct.
Chad Vanacore: All right. Thanks for your time.
Operator: Your next question comes from the line of Jordan Sadler with KeyBanc Capital Markets. Please proceed.
Jordan Sadler: Thank you, good morning.
Edward Aldag: Good morning, Jordan. How are you?
Jordan Sadler: Okay. Thank you. So want to just see if you could, kind of comment on the recent acquisition of Ardent by a competitor getting into this space, not necessarily specifically surrounding that transaction. But I'm curious as to, how that – number one impacts the lay of the land, as it relates to take competition for acute care hospitals with a large competitor getting into the business and how that obviously affects valuations? And separately, maybe talk a little bit about coverage and I know it is that was it's significantly lower level relative to what we see in your legacy portfolio and maybe just how, if you think about the existing coverage in your legacy portfolio versus what may be perceived as market?
Edward Aldag: Jordan this is not the first attempt by our competitor to come into the acute care hospital market, we’ve had good competition from our peers for the last two plus years. As we have said lot longer than that, we very much welcome the competition, because it’s a very large market out there and we believe there is a room for a lot of us out there. We believe that the positive benefit of Ventas making the harder transaction far out ways any competitive nature in it. It validates our model, if you look at the model that they choose, it is very similar to the model that you’ve seen us do in the past. The fact that they are in the acute care hospital sector with an operator that we think is a fine operator. We think further validates our model and we think that the further education of the investor world having other competitors or peers in the acute care hospital sector will only help to increase our value – the value of our portfolio from making the hospital market more of a commodity much like – much of the other healthcare, real estate portion. As far as the coverages as you know they and many of our other peers report coverages on EBITDAR basis we have always reported our coverages on an EBITDAR basis. We continue to underwrite our hospital general acute care hospitals at a stabilized EBITDAR lease coverage ratio of roughly three times with out post acute sector been in the 1.7 to 2 times coverage. That’s a little bit stronger than what you’ve see right now on what was announced on the Ardent transaction and certainly not pretty to all of the details of their particular structure. But I think that’s a fine portfolio that will bode very well for MPT in the long run.
Jordan Sadler: Okay. Thank you. And then as it relates to the pipeline of $2 billion can you give us a split Europe versus U.S.?
Steven Hamner: Yes, fairly evenly divided between the two equally or roughly a $1 billion each and it is primarily to almost dominant predominantly all general acute care hospitals.
Jordan Sadler: Okay and then lastly, if I may. The five assets that you are not acquiring and you’ve decided not to acquiring they have a €17.3 million valuation. Is to be allocated it to the other properties. What does that mean exactly?
Steven Hamner: Well, we underwrote the entire €705 million investment based on master lease level that’s corporate level EBITDA and the resulting coverage. So and again there were 40 properties so as is not uncommon in a multi asset acquisition transaction like this – the final allocation of the agreed purchase price is made sometime after the agreements are executed and that’s exactly what we did here, we had agreed to make the investment based on at least a minimum level of EBITDA and by removing these properties which firstly we did necessarily think added incrementally to the value of the portfolio and secondly, we are bringing some inefficiencies to the closing process we feel very, very confident that the additional values – significant additional value over and above what we under wrote for the reminder of the portfolio more than made up for the very limited if any contribution of EBITDA to the portfolio.
Edward Aldag: So, Jordan, I think that it was Chad a minute ago that asked if our coverage is we’re going to going to stay in the 1.7 range for the median portfolio. Excluding these five properties that actually has increased slightly.
Jordan Sadler: Okay, great. Thanks gentlemen.
Operator: Your next question comes from the line of Juan Sanabria with Bank of America. Please proceed.
Juan Sanabria: Hi, good morning.
Edward Aldag: Good morning, Juan.
Juan Sanabria: I was just hoping you could help walk us through the accounting for MEDIAN. I know you've closed a piece in December, EUR425 billion. I think you said it at the lease rate, so what were your accounting for that's incorporated investment quarter for the results and what would be additive to that on a go-forward basis once the rest of the transaction closes?
Edward Aldag: Well, we’ll just have – Juan, the investment we made around the closing of EUR425 million was in the form of a loan that we’ll convert to ownership of the real estate when that those transactions finally closed. So since then we’ve been earning the lease rate something above 8% on a cash basis in the first quarter. And as we then begin to fund the closing of the real estate transactions that’s an additional EUR280 million plus or minus some adjsutments in expenses and as those come online we will just like any acquisition begin earning again at the lease rate from the time of that funding.
Juan Sanabria: Okay, great. And then, just on the new acute care hospitals acquired in the first quarter. Just a quick question on the disclosure. The press releases says $150 million, a couple times. But if I look at the supplemental, Page 12 has different figures and looks like the acute care hospitals would be $110 million. So, I was just curious as to why the difference, if there was typo?
Edward Aldag: It is simply a typo, the supplemental should show a total of 150 million.
Juan Sanabria: Okay. And then, on the Community Health. You mentioned that you've got a new tenant maybe in process. So, relative to the first quarter run rate, what should we expect from lost revenue, I guess until that new tenant comes in?
Edward Aldag: Until we close or we’re not going to announce the details of it other than to say that all of the proposed transactions is included in guidance.
Juan Sanabria: Should we expect any sort of rent ticked down or when I guess – is there any downtime in between one [indiscernible]?
Edward Aldag: No, no, in fact there is what we think will be an interim tenant in there now. So the doors never closed, the hospitals never stop operating, we replaced community with again, what we think will be an interim tenant. But if we’re unable to reach final agreement with McLeod, the party we’re negotiating with now. Then the hospital remains open and operating under this interim tenant.
Juan Sanabria: Okay. You've received the same rent that you were booking before the interim?
Steven Hamner: Yes, we would not expect. The interim rent to change certainly changed significantly if and when we finalize negotiations with McLeod.
Juan Sanabria: Okay. And then, I was just hoping you could speak to. I guess, what you guys expect from a regulatory perspective on some of your non-acute care hospitals, IRFs and the LTACs to happen with the change in regulation that's been announced now for a while now. But any comfort that you have on the seemingly leveling of playing field between those types of assets and skilled nursing in sort of the Affordable Care Act pushed towards side neutral payments and how those assets may fare and how you feel comfortable with the coverage you have currently?
Edward Aldag: One that the short answer is that we believe, well, long-term it will have a neutral effect on the operations of our facilities. Obviously, we’ve all had time to be studying this for a long time and we’ve worked very hard with our operators to try to figure out where each one of our facilities are and where we think each one of them will make adjustments. There is a long list of different things while we glad to go over with you all plan of the different adjustments that hospital operators can make of these LTAC operators can make, obviously include things such as is payer mix, staffing ratios, those types of things. But to give you the short answer, worst case scenario, remember, we think that’s unusual. But worst case scenario we think that this maybe a 10 basis points dropped in our coverage.
Juan Sanabria: Okay. And just, I wish I guess I'll throw out there. It could be helpful if you guys put in your supplemental coverage ratios and it seems like there and that's new system adopt the time so be helpful to have in Friday?
Steven Hamner: Yes, and we’re working on that. The reason that is not in there now, that we’re trying to get it all on the same quarter basis. It is our anticipation that would be in their next quarter.
Juan Sanabria: Great, thank you very much.
Steven Hamner: Thank you.
Operator: There are no additional questions at this time. I would like to turn the presentation back over to Mr. Ed Aldag for closing remarks.
Edward Aldag: Lisa, thank you very much and thank all of you again for calling in and participating. As always if you have any questions please don’t hesitate to call myself, Steven Hamner, Charles Lambert, or Tim Berryman. Thank you very much.